Robert Matthew Barrie: Hello, and welcome to the Freelancer Limited 2025 Half Year Financial Results. My name is Matt Barrie. I'm the Chief Executive and Chairman of Freelancer Limited. With me today, I have Neil Katz, the Chief Financial Officer of the business; Andrew Bateman, who's the VP of Product Management and Enterprise; Mas Mohammad, who is running Loadshift business; and August Piao, who is running the Escrow business. As always, in the Q&A, you may direct your questions to myself or anyone of the executives in the room or follow-up afterwards for a one-on-one by e-mailing at investor@freelancer.com. At Freelancer, we are building the Amazon services. We're in the fields of labor, payments and freight. We have 3 businesses that are all very strategic and groundbreaking in their own right and world-leading. Freelancer is the world's largest online crowdsourcing marketplace with over 82 million people, connecting people from all around the world in any country where there's electricity in the Internet that we're able to legally operate. Escrow is the world's largest online Escrow company that secured over $7.7 million in payments for expensive and complicated items. And Loadshift business is an Australian-only business, but the largest heavy haulage freight marketplace in the country that we will be at some point in the future, expanding overseas. We are also solving trillion dollar problems. Each of the fields of labor payments and freight are very large trillion dollar markets. In the field of freelancer, 5 billion people need a better job and intellectual capital is the battleground in the 21st century, as Mike Milken says. The defining characteristic of the 21st century will be the competition for intellectual capital. So with Freelancer, we make it real. We turn your dreams into reality, whether you're a small business right up to a very, very large business in terms of delivering products and services of the future. And for Escrow in the payments field, trust closes deals and in high-stakes transactions, bulletproof escrow is in a luxury. So we ensure that transactions happen such as we've secured things like the sale of croc.com to x.ai. We secured the sale of meta.com to Facebook. We secured the sale of [ chat.com ] to HubSpot, which ultimately sold it on to OpenAI in the field of AI, and that's just in the field of AI alone in the field of domain names. So when you transact a large or a value item over the Internet, there's risk and Escrow powers global trade without borders by reducing that risk. The freight field with Loadshift, it's logistics going digital. It's basically Uber for freight. It's the same code base as freelancer, just running for the dedicated industry being Loadshift. And midweek, we get about 300,000-plus kilometers of freight per day, which is on part of the distance to the earth to the moon and exceeding in some days of the week. And so we keep the world's supply chains running. How we generate revenue? It's quite a simple business model. It's a consumption-based model. With freelancer, we do jobs from $10 to $10 million with 80 million users. We collect a 3% fee from clients and 10% from freelancers once you award the job and the job is accepted, and we have some optional other revenue lines and premium add-ons. With Escrow, we take a very small commission for securing transactions. We've been averaging about 1.64% on each transaction as a whole and basically repeat deals, monetize trust at scale. And for Loadshift, it's the same model as Freelancer, 3% plus 10%, et cetera. So our competitive edge is monetizing critical business infrastructure across the digital economy. Now getting into the half year results. So the gross marketplace value of the business is $439 million. The revenue was $28 million, which is up about 8%. NPAT swung positive to an all-time record for the half year of $1.9 million. That's a big step up from last year where it was slightly negative. The operating cash flow grew very strongly to $6.8 million positive. That's up 209% in the half. The cash flow is also very strong at $3.3 million, up from a small negative to flat number of last year. And the cash balances grew for the fourth quarter in a row. This time it was up 12.3% from the most recent half year number. And that was also taking into account that we spent $733,000, increasing our stake in Loadshift to 64.2%. So I think overall, the high-level story here is an all-time record half year profit and quite robust cash flow and powering the growth into the second half. Looking across at a high level by segment, and I will do some commentary after I go through the first set of slides here just on the overall high-level numbers. So the GMV was up a bit to $66.5 million. The revenue was up also 3% to $21 million for Freelancer. The big win we had in the first half, you'll see the video that we played on the -- at the beginning of the call today is we were a joint winner of the National Open Innovation Series 3, USD 475 million contract. We've been working with NASA for about a decade. We are a winner of NOIS2, which started off at USD 25 million and jackpoted to $125 million -- $175 million, I think it was. $175 million. That contract actually still has some spare powder in it. It was a 5-year contract. This new one is a 10-year contract. The original number of vendors in NOIS2 was 32, and that's been actually reduced to 25 in NOIS3. And we are by far the largest platform in that universe, and we very frequently win task orders or partner with other smaller entities with domain expertise to win. So this is a great validation of the business. We obviously work with NASA on very, very high-end scientific and technical breakthroughs and moonshots. As you saw in the introduction video, the sorts of things we've worked on in the past have included how to detect, track and remediate and that means shoot out of the sky, small earth orbiting debris between 1 millimeter and 10 millimeter, which we came up with quite a number of different solutions and different approaches and different technologies. We've done things recently such as refueling spacecraft in orbit, new techniques for doing that in microgravity environments, et cetera. And we've got a big one that's actually been running just right now, which is actually more of a mass market, but it's had heavy support from the astronauts in getting kids with the zero gravity device replacement that goes up with the [indiscernible] into space. But I will talk about that a little bit later, but it's not just space. We do everything from product design to electric engineering to software optimization and so forth. And that is only going to increase over the next 10 years in terms of the diversity complexity as well as the sophistication of this work. And the providers that enter these contests are really tapping into 80 million minds for really true genius and a very large variety of approaches. Some of them are Anthropic, some of them really delivering breakthroughs, and we've landed those moonshots successfully one after the other through the entire history of the program. So we're pretty excited about being selected and honored to be selected as part of those 25 vendors. And moving forward, I think we'll play a very, very big role in that program for the next 10 years. In terms of other momentum, we added 2 million new users in the half, up 17.5%. We have now extreme liquidity in the France and marketplace, 56 bids per project. And actually, in terms of contest, we actually now have 772 entries per contest, which is pretty insane when you know that contest can run anywhere from $10 to $10 million plus. Escrow, the revenue was $372.5 million. It's a bit choppy on the GMV number because we do have these very, very large transactions. We almost had a big $35 million transaction happen in the cycle. We unfortunately -- that didn't go ahead. And there's a couple of very large $10 million transactions, which are partially funded/pushed over into the next quarter. So that could have easily have been quite a positive number on the GMV. But the revenue is up 32.3%, $6.1 million. That's doing very, very well. This is our fifth year of profitability with Escrow. We're out of tax credits now. So we will stop paying tax for this business, which is a first world problem to have. We also were live with Shopify, with the beta, our Golden transaction went through, which is a full end-to-end test for the system and paid. That transaction was a USD 12,000 transaction. And you can imagine that using the traditional low-value payment methods such as credit cards and PayPal and so forth, it would have been a little bit difficult to take a payment at that site. So the big thing here is that we will be able to -- you got to use the Shopify site to take large value payments, for example, sell a house, sell a jet, jet parts, intellectual property business, et cetera. So really, this is a brand-new capability. We've been taking it very, very slow, but funds are flowing through now. And again, we will just be just gently stepping those up because we need to make sure that we have everything in place with the business to be able to scale because obviously, they're a very, very high-volume ecosystem. Domain volume was up a bit to $196.9 million, and we've got a bunch of positive interest from import export. We have a very, very, very strong integration pipeline with Escrow that Elliott and the team have been driving. Lots revenue was up 9.1%. We twice hit an all-time high monthly revenue in the first half, being the previous numbers by 12% and 8%. And I'm pleased to say that we've rolled out in-app video and audio calling, which is a big thing that we've been waiting on to really drive up the award rate. The award rate is actually slightly higher than 27.8% at this point in time. We actually pushed an even new update to the audio video calling this morning. So for those of you that do use the site, update your apps and the calling is getting fairly robust and there's quite a bit of push going into it. So I expect over the course of this quarter to be able to report that, that award rate has been nudged up to an even higher level. And we'll see how high we get it to. We're also going to be opening up the calling on the site in terms of how it's accessible on both Loadshift and on Freelancers. The important thing to remember here is that win on one platform gets a win on both platforms. And so Freelancer will have calling -- has been progressively benefiting from the calling being rolling out. We've heavily restricted the calling on Freelancer because simply we have so many users and you want to avoid span vectors and so forth. But now we've got a real-time data pipeline running on that happens through our sites, we can control that. So we will be massively opening up quite a number of features, including calling on the platform. That was great. So we had record half year profit and cash flow with all the 3 engines kind of starting to get primed. The big thing now is we need to focus on the revenue number. So just focus on that revenue number and get them all pumping. We've got one business at a pretty good rate. We'll get all the businesses at that level, and we will be flying. This is what the cash flow looks like the profile for the first half. You can see there was really good $6.8 million of operating cash flow under the new was AASB 16, you've got to account for lease liabilities in such a manner on your books. And there's basically de minimis CapEx in this business and the $733,000 is for increasing our stake in the Loadshift subsidiary. So that gives you a rundown of kind of where we ended up to $26 million cash in bank. So you can see the NPAT swung quite positively. We went from a negative NPAT in the first half of last year to almost $2 million in the first half alone. It's the largest half year profit to date in the company at all time. Net revenue was up 8.5%, powered by Escrow and steady marketplace growth. We did get the gross margin lifting just a little bit. The lapping number in the first half of '24 was abnormally low for our gross margin. That's not actually accurate. Previously, our steady-state gross margin has hovered around 83%, 84% roughly. In that particular first half, we had some abnormals from -- I think it's primarily fraud. Is that correct, Neil? A toll fraud attack on the 2-factor authentication that we're running with Twilio, but that's been rectified. So we do have a very strong gross margin. Historically, at the very beginning of the business, I think it's about 85%, dropped down a little bit over the years, and we managed to get up much back up, that's great. We've been tightly managing our costs. Admin is down 3%, occupancy down 8%. We're gently nudging up the marketing at the same time a little bit. And you can see that quite a number of numbers swung positive here in the first half. Net profit before tax was $2.8 million for the first half, up from a negative $1.4 million. You can see that there's about a $4.2 million swing in the net profit before tax number. And overall operating profit before tax is about $1.8 million. So that gives you a good idea of where we are. And obviously, I mean, I've said in the past about a year ago that my goal was to get to $0.5 million a month of profitability or operating profit consistently every single month consistently for and then build a base and then obviously grow the revenue number as much as I can and just generally nudge up the profit over time. I think we've done a pretty good run to kind of get to this point. We always have a little bit more to go to get to the number that I was putting back there, but it's pretty close. And I think that will provide a good foundation and stability with the business in terms of the financials, you see there's an NPAT number coming through, which is fantastic. So the goal here is I won't be happy until I've got good double-digit revenue growth numbers across all businesses. We do have a little bit of cost savings still to come. There is still fat in the business in particular areas. I'll highlight that there is fat, for example, in our hosting costs still, and we have a plan to reduce that a little bit. There's a little bit of fat still in the payments infrastructure because obviously, we operate many currencies across the world, et cetera. We've got plans to reduce that with better integration of select payment gateways, which will increase not just the acceptance rate of certain payment types in certain geographic areas, but also cut some cost a little bit. So we've got some more profitability savings to come in addition to kind of just working on those revenue numbers. As we said before, the cash and cash equivalents were up again for the fourth quarter in a row. This is up 12.3% to $26 million. Receivables down a little bit, reflects a shift in the mix of payment processes with shorter settlement times, which is better for us. And the right of use, lower depreciation in line with lease terms and reduced lease liabilities. Neil has done a very good job. Every time we got a lease renewal, we managed to chop some off from all the offices around the world. So obviously, we will continue to do that as the leases kind of mature and so forth. But congratulations to Neil for kind of making sure that cost control has been well applied. The reserves are up 14% simply because we increased our stake in Loadshift and so the noncontrolling interest reduced to the acquisition of some minority shareholders in Loadshift. And so some high-level vision, strategic vision and 2025 outlook. I think we've got the operating profitability. The operating leverage is starting to show through with the profitability. We're focusing on AI leadership. I'll talk about a bit more in the commentary. The second half focus is really productizing our GenAI tools for customers and partners. We've also got a big engagement doing some stuff with foundational models that we're being paid for right now with the integration. We have a bigger thing coming as well in that particular area, but I'll say that for the commentary area. And in terms of customer acquisition, we did have a bit of a pullback in the cash coming in from new customers in the first 30 days in the Freelancer business. I personally wanted the number to be significantly higher. We had a bit of issues over the Easter period where we were a little bit thinly staffed, and we had a few rollouts, not entirely our fault. We actually had an issue with the Chrome browser rollout, which affected quite a number of websites, but it's trending back now, but we've had good user sign-ups, and we've been also been improving our workflows. And my goal is to get the cash coming in from customers back up to over 20% year-on-year minimum, and I know how we can get there. Big focus on retention. The video calling rollout is going to be a big one. We've got a bunch of smarter matches happening right now in development. We've got agentic framework improvements. It's pretty crazy the sort of things we can do now with AI agents on the site. continue the cost discipline. And if we can just keep chipping away on the cost discipline while spending the money where we want to spend it. We spend on good people in the company, nudge up the marketing a little bit and kind of trim the fat from waste in a few areas. And there are some waste in a couple of areas in the business still. And so the catalyst stuff, Freelancer is continued customer acquisition, AI-driven demand, NASA government wins amongst other things. There's a whole bunch of really good enterprise opportunities from this here. Escrow expanding to the high-value verticals, expanding the integrations, continuing the Shopify rollout, Loadshift enterprise freight growth with the audio video calling, GPS tracking, onboarding improvements, et cetera. And we're currently lean, focused and ready to ride the wave, AI, and we want to get basically the revenue across all the business lines now to double digits and sustainable profitability and the cash has been building up and want to continue to keep building up. So what I might do now is just go across to the commentary and is that coming through? No, it's not. Okay. Here we are. So I'll just go through the commentary in a bit of an overview. I won't go through it in huge amount of detail, but I'll leave to the next slide to read, and then I'll open up to Q&A. And again, you may address your questions to myself or anyone in the room. So we talk about the high-level numbers for Freelancer. And I've talked about the users being up 17.5%. The average project size continued to grow up to USD 365, which is up 36% on PCP, which is inclusive of all enterprise customers in the Loadshift division, et cetera, just across all projects, it's the same stack. Liquidity is pretty insane, 56 bids per project, up 30% and 722 entries per contest, up 113%. A lot of that liquidity is driven by sort of AI assistance in bidding. So people getting duty right their bids and so forth. We have some work we're doing this cycle to -- which we run 6 times a year, a 2-month cycle for product development to crack down a little bit on this liquidity. It's very, very good to have liquidity, but it's a bit too much, particularly in the contest side of the business. It can be a little overwhelming getting so many contest entries submitted. So we're going to crack down a little bit in the next couple of months. So this is what the average project size looks like. You can see that really since 2020, it's kind of really taking off. It's a mix of the ability to do higher level sophisticated jobs on the platform, there would be a little bit of inflation in there, but that's one of the components. And it's really -- one lever we can really move in this business is the average project size and for other businesses, it might be the average order size. $350 today probably gets you about $7,000 worth of Western work. It really is -- has that sort of leverage. And still $350 is not a lot of spend even for a small business who -- if you're in the U.K., U.S., Canada, Australia, et cetera, you probably have someone on staff for $45,000 a year. So we're talking -- this is a number that we could easily figure out how to put a 0 on the end of. We have some pretty exciting things coming that I think will put a 0 on the end of this number, but it is a lever that can really, really strongly move and far more than the effect of what you can do with funnel optimization and so forth. But we're working on the funnel optimization and the retention as well. This is probably my most negative thing for the half, which was the acquisition. So this is cash coming in from new customers in the first 30 days or 28 days. You can see there, we -- really up until Easter, we had the number peaking above 25% year-on-year. And of course, that just flows through the business and ultimately hits revenue and ultimately hits GMV. Literally, I've got a plane to go do an investor talk around the Easter and the number went backwards. There's a couple of things that went on there. There was a Chrome -- I think it was version 135 -- they had a Chrome update, which reduced the set interval timer in the Chrome browser to basically not have a minimum trigger delay. So it causes a bit of a locking up on quite a number of websites around the Internet. You can Google it and ask me for more information. That took a little while to debug and we fixed it. But just this was over Easter, you do have a little bit of a pullback and you got a little bit thin staff. So there's that and a couple of other things. We obviously can see that the number recovered a bit after Easter, above 10% year-on-year. It's come down a little bit again. It's trending up in the last couple of days. It's been trending up quite strongly. We will get this number back up again to higher than 20% year-on-year. But this is a thing that if we had that number up there at 20% year-on-year, the NPAT would have had a much larger number on it. But we're getting there. We will get it back. This is the GMV. However, you can see the GMV is quite healthy in terms of the year-on-year numbers here. This is the -- you can see that we've been in green for quite a bit of time here. And here's the delta. So that's for new customers, that top graph, and this is for all customers through the business. You can see that we're still hitting the greens, but the key is really to get those acquisition numbers happening again in combination with retention. So they are the 3 levers is customer acquisition and getting that firing again, which we will. The retention is inching up quarter by quarter by quarter by 5% or so at a time. I think we did retention by about 5% last year. We just need to kind of keep that going, get the acquisition numbers moving and then keep pushing the lever on the average order size and we'll kind of get some good places. AI type of jobs going to the business is growing really strongly. We're actually going to issue a Fast 50 jobs report this week, which we'll get into a lot more detail about that. You can see that the AI jobs are going up. I fully expect this to go 10x at one point. I have been very bullish on what -- I can see what we do with AI agents on the platform. I'm seeing what customers are doing with AI agents, and I guarantee you, this is going to be the new web design. Every business in the world very soon will -- the aha moment will happen. They'll realize how they can get it done. And their phones will be answered by AI to take an order, process a credit card, make a booking, and they'll come to Freelancer to get it done the same place you get websites done and you get your apps built. So pretty excited about where that's going. We've done some overhaul with brand marketing that will continue to improve. We continue to maintain a really good Trustpilot score, actually one of the best on the planet amongst the major marketplaces and continue to maintain that. We've started doing the integration work, which is being paid for one of the largest generative AI models in the world. There's 175,000 freelancers that have at one point in time worked on this. Once we get this integration done, the ability for us to marshal users, issue them credentials, get them working, get them paid will be significantly easier than what we've been doing up in today, which has been very manual. There's quite a large number of projects we've been working on with one particular partner across not just the hyperscaler foundational models, but also quite a number of smaller engagements. What we're seeing in the market is we're seeing that just about every major business in the world that's in the Fortune 2000 or G2000, what have you, that has proprietary data are kind of building their own foundational models to basically provide a way to meter access to them. So for example, if you're Bloomberg and you have access to all this financial data, you don't want it scraped by Google, you don't want it scraped by Meta, you don't want to scrap by Anthropic, you want to produce your own model and have some way of charging a tariff for access to that data. And so there is -- we've just opened an office in Bangalore. It's a small office at the moment because a lot of this work is happening through the BPO industry in India. We did a 6-city tour in the half in India, and that convinced us to open an office because there's always infinite demand for this sort of work. Literally, every BPO has this work available from the small scale up to the very, very large scale. And it's pretty exciting. So we're very bullish on all of that. For the field services as well, India is moving up the S curve. And by doing so, everyone is buying air conditioners, alarm systems, computer equipment, networking is rolling out, satellite dishes, et cetera. Again, there almost seems to be infant amount of work for global coming out of India. So that's another major reason why we opened an office in Bangalore. And even this week, we're quoting on a very, very large job that wouldn't start until 2026, but it's pretty exciting. We're one of the most exciting companies in the world, and it's at scale. So we'll see if we see if we win that, but I'm very, very, very bullish. And Mas, who's in the room with me here is leading all of that. And let me tell you, get him on the phone with customers, he's a professional. He used to work on NBN and Telstra and what have you. He knows the ins and outs of field services. He knows to get someone -- anyone anywhere with any skill set on a roof with all the certifications, you name it, he knows how to do it, [indiscernible] do it very, very quickly. So that's fantastic. I've talked about NASA and what we've done there. I'm pretty excited and bullish about that. I do think we're going to see some great things coming -- we're already seeing a lot of task orders. I think Patricia last week applied for 6 or 7 of them. They got sprayed out in 1 week. So there's a lot of activity there happening in that front. As I said before, the NASA is now representing the whole of U.S. government. So we're getting task orders from every agency you can possibly think of in the U.S. government. This is obviously a massive upside. We also poached the Head of Sales from the #2 task order winner from NOIS2. So that's Ed Wong, who has joined us in the last 2 weeks and runs our sales -- enterprise sales team now out of Vancouver reporting to Andrew. So I think we'll have a lot of firepower there on this front moving forward. And here's examples of certain things that are going out. We obviously continue to award prizes in the half, we had USD 2.5 million for a gene editing task order, which -- I'm not sure the value of it now. It was USD 6 million, but I understand it's jackpoted a little bit.
August Piao: Yes. They decided to award additional based on the quality of this.
Robert Matthew Barrie: Yes. So I mean, it's pretty amazing. If I think back to when I started this business back in 2009, you had 20 categories of work, you put $50 in, you got a $50 website and it looked like a $50 website. Now you work with the top end service providers. So you got everyone from Harvard, Yale, Princeton, et cetera, you've got the research labs, you've got professional scientists, you've got grad students, you've got CRCs, you've got hobbyists, retirees, you name it, hackers contributing to these prices. It really is accessing 80 million minds of genius to solve and deliver moonshots for science and technical problems. to think that back then that we would be not just delivering on gene entering the gene editing on the central nervous system of humans, but to do so in a way where they've jackpoted by I think it's $1.5 million, I have to confirm that, a USD 6 million challenge for gene editing because the quality of the work is with them and more winners. So it's a phenomenal validation of what we do, and we do plan now on opening up this capability to Fortune 2000 equivalent business globally. I've got some exciting news to come on that shortly. And working on all things, sustainable business models, et cetera, and so forth. We're also working with government to help solve unemployment in countries around the world. We've done it in a few countries now. Bahrain is going very well, the 97% approval rate of the delivery of that particular program. Escrow, as I mentioned before, about the numbers, the revenue is doing really good. The GMV -- GPV and GMV kind of bounced around a little bit. It was almost a blowout quarter. If we got one of these deals across the line, it would have been a blow back quarter. So as I said before, there's a big deal that kind of got missed and then there's a couple of that one got partially funded. So we've got some amount of $10 million, and there's a few other big $10 million transactions being set up. So that number could easily bounce back up in a big way very shortly. And we talked about Shopify. We're very excited about that. We do have a bunch of shopping carts lined up at the moment. There's a very strong pipeline there. But the big thing is we are a high-friction payment business in that we have the KYC people. We have a lot of obligations as part of our 55 licensing -- license jurisdictions that we operate in to ensure that we do all the checks around sanctions and political exposed persons and check the product is selling through an appropriate price and do modeling of the pricing in some circumstances and fuzzy matching and you name it. So it is a high friction payment system. And so when you're taking a high-friction payment system into a traditionally low friction environment like mass commerce, you want to make sure that you're just doing it as slick as possible as modern as possible and that support operations, compliance and everything else operate hand in hand to make it work as part of the product experience. So we're chipping away at that, and we will continue to report on that. But we're just going slowly because we want to make sure it's all good, but we have done our first golden transaction, and there's quite a number of transactions now that I'm seeing on the dash being set up in other various stages. So it's starting to happen. We also have a very strong pipeline, as I mentioned before, with Elliott and the team of integrations. And August, maybe you can jump in and help me here because of my memory. There's automotive with we found a great new use case for car dealerships. There's machinery, there's agricultural machinery, there's a fuel credits marketplace in Europe. What else we got?
August Piao: We've got some M&A marketplaces.
Robert Matthew Barrie: M&A has been particularly strong, yes.
August Piao: Yes. M&A, in particular, numerous marketplaces, some of them domain names, some of them heavy machinery, automotive, I think that...
Robert Matthew Barrie: Yes. So that's going very, very well. So we'll -- I think that's going to be a pretty good focus for us for the next -- we've got 3 things we're kind of doing with Escrow right now in terms of product. One thing is we're doing as much automation as possible, preparing for potentially high volume coming from places like the shopping carts. We come from a relatively low number of transactions a day. That's why you kind of get this choppy GMV, GPV. But we're looking to pull that out and diversify that and making it less choppy by going to more mainstream at the same time, allowing the shopping carts to sell high-value items, which they can never do before because there's no other payment system that can do that. At the same time, we're doing that, we're also producing features for each of these different verticals, so we can cater really well in the -- whether it's M&A, whether it's automotive, whether it's machinery, whether it's domains or IP addresses or what have you. There's a whole bunch of features that are needed to really make those categories shine. And then the third thing is really just an overall modernization of the infrastructure. So they are really the 3 categories in the product. Escrow is really busy and I think it's going to really start hitting its stride in a big way. There's a bit more chat about that in terms of the verticals in half the overall domain volume was up, down a little bit in Q2 because you get Easter and what have you in there. And then overall, we're just talking about the things we're doing in terms of improving the service, and we will get to 24/7 support very, very soon. I think it's this quarter, we'll have a 24/7. And then in terms of Loadshift, which is just Freelancer for heavy haulage freight, this is the sort of stuff we move. So that's a barge. These things can be quite complex in terms of the movement. You may need a permit, you may need a pilot, you may need a police escort, you may need to take the power lines down, et cetera. We move this sort of thing all the time, whether it's a barge or whether it's a crane or whether it's heavy machinery, et cetera, and we really excel the harder it is, the more we excel at it. So we're just really consolidating on that and then gradually going down the stack. In terms of operational performance, we hit 2 all-time high for the month in the first half. And award rate chipped up a little bit, which we plan on chipping up a fair bit more now we've got calling deploying. Water jobs tipped up a bit, delivered loads tipped up a bit as well. So in the first hour, we've got an average about 2.2 quotes per job. And I think overall, we get 8 for the business, yes. So really, now it's -- the big focus is getting that award rate up and the big focus on that is the calling because the use case is a little bit different from Freelancer and the people on the truck driving, so they've got hands-free on the phone rather than in a chat environment, which they do on Freelancer. So we're really focusing on this, just getting it fully opened up away, and that obviously allows us to increase the award rate quite dramatically. So you can check it out. It's live in the App Store, just make sure you got today's version for the latest updates. But it looks pretty good, and it's got a Zoom back end and so forth. And there's bunch of other features between now and the end of the year. We'll have -- we have the ability at the moment to put a GPS tracker in, but we'll have in-built GPS tracking. We'll have a better carrier onboarding experience. We'll have more robust features around the unloading and loading of things on the vehicle and so forth. In the half as well, we now also have managed to launch an ADR through Deutsche Bank in the U.S., the ticker is FRLCY. It's a 100:1 ratio to the ASX listed FLN. We did have previously the FLNCF ticker, which is still up and live. But FRLCY is actually a proper U.S. security now. So it's getting visibility in the U.S. share trading platforms, which was not available under the F ticker, which is an Australian share with a U.S. ticker. So it was considered as a foreign share. And even though we thought it might give visibility in the platforms, it didn't. So now we actually are appearing in the U.S. share trading platforms. Obviously, it's trading at 100:1. So it's around, I think, USD 16 a share at the moment, something like that. I think an initial good start in terms of the trading, it ticked up a bit. And I think now our 80 million customers will be able to buy the stock. We get queries every second day. It's particularly hard if you're somewhere like India, you can't buy an ASX-listed share. We know because we called every single major broker in India to ask them. It's very, very difficult. And we think now we'll start to get visibility around the world, not just in the U.S. and not just with our customers and also with U.S. investors. In fact, in my last trip to Europe to talk to investors, there was commentary that we'd like to be able to trade your stock in the U.S. time zone, which now is available. So I talked about the big story is about profitability. The first half NPAT of $1.9 million versus negative $1 million last half, revenues up 8%, slightly improved gross margins. So the operating leverage is really coming through now. We've had disciplined cost management across the board, pretty much just nudging up the costs where it matters that drives the business. So in marketing, we're nudging a little bit in terms of the staffing. There was a bit of an FX unrealized gain in that, but they tend to net out quarter-to-quarter. And we obviously delivered a strong turnaround in cash generation. Positive operating cash flow -- positive cash flow of $3.3 million versus an outflow in the previous and operating cash flow tripled to $6.8 million, up 209%, driven by strong revenue growth and the structurally leaner cost base. Our cash outflows totaled $3.4 million, primarily lease payments, but also we increased our share in Loadshift to 64%, spending $733,000. And cash went up despite that spending by 12%, fourth quarter in a row and provides a strong platform for continued growth. So looking forward, enhancing the customer acquisition by having cash coming from customers in the first 30 days, particularly on the freelancer marketplace, retention and the average order size, the average project size. So really those 3 levers in combination, just chipping away at them, accelerating all the things we're doing in AI, and we really are at the center of AI. Our freelancers are using AI and their skills are dramatically increasing as a result of that. If you're an average copper, you're now exceptional. If you're an average illustrate, you're now exceptional. And so forth, we're working on some of the largest foundational models in the world, and we currently do an integration with one of them to deliver RLHF and other services to that foundational model faster. There's a bunch of other things in the pipeline with various customers around AI and plus all the AI features that are going into our marketplace. If you use our site recently, you'll see that with AI helping you write your project description. We've got all sorts of neat little things that are on the site like helping you to get things done and increasing your productivity and they're being all very well received. At the same time, expanding our financial service offerings, there's a lot of cost savings as well as improved ability to take a payment, which we're working on and really drive the operational excellence of the business and platform reliability, quality and performance, et cetera. And as I said before, consistently achieve over $500,000 a month of operating profit, which the jaws are now starting to open. So I will now open up to questions. You may ask a question to myself or to anyone obviously, in the room here. I'll remind you, I've got Neil Katz, the Chief Financial Officer of the business. I've got Andrew Bateman, who's the VP of Product Management and Enterprise. I've got Mas Mohammad from Loadshift; and I've got August Piao from Escrow. So if you could please open up and Oscar, if you could let me know of any questions. I know it takes a little time sometimes for people to ask because they might be a bit shy. So any questions?
Robert Matthew Barrie: Any questions?
Operator: None yet.
Robert Matthew Barrie: None yet. Okay. You may also arrange in any time one-on-ones. You can reach out directly to me myself at matt@freelancer.com or investor@freelancer.com to arrange them if you would like to do something privately. We trade in the ASX, obviously, as FLN and over in the U.S. as FRLCY now. Any questions coming in?
Operator: Yes. We have one question from Ray. Ray says, the demand for electrical power from large AI companies is becoming an issue. COP 30, where the largest international commitments to climate change actions will be announced is likely increased scrutiny, a shift to renewable energy could have a positive impact on Freelancer brand. Does freelancer have any plans to source its power from renewable producers?
Robert Matthew Barrie: We have no plans to source our power from renewables, no. We -- the power is kind of de minimis in our expenses, to be honest. And we just use -- in terms of our biggest power consumption, it's just whatever data centers that Amazon uses. So that's basically it. Any other questions?
Operator: No.
Robert Matthew Barrie: Keep it open for a little bit longer because sometimes it takes a while for questions to come in. We also, in the half won our 13th Webby award, which is the picture on the front of the deck. The Webby is the equivalent of a Grammy or an Emmy for the Internet. So we're very pleased that we've now got 13 of these over the lifetime of the business. So we've been operating for 2009 to now. So that was at 16 years and 13 Webbys. That's pretty good track record.
Operator: Simon asks, can we expect the share price to pick up in the short and midterm?
Robert Matthew Barrie: Well, the share price has been picking up over the short to midterm. And I would expect what do you need for a share price to move? Well, fundamentally, you need good financials. So we've been focusing on the profit. And so we did an all-time record profit for the half, which was a big swing positive. So I think that provides a good foundation for showing the numbers can flow through. And now we just have to focus just continually on moving the revenue numbers across all lines of the business. But you can see there that we've got a decent profit in order to maintain that profit and continue the profit and with good numbers. The stock market in the long term is a weighing machine. That depends on the financials. So that's what we're doing is focusing on that.
Operator: We have a question from Greg Ward from Trafalgar Capital. This is a question for both August and you, Matt. Can you provide more detail re-Escrow? Revenue up strongly, 32%, but GMV down 3.3%. How much is attributed to price changes you made last year versus mix yield affected by verticals?
Robert Matthew Barrie: Yes. So the very high-end GMV stuff we do, we do transactions up to USD 50 million as the rent we've done to date. Some of those deals have been done at very, very skinny margins. So they've been done. I think the lowest we did it was, what, 0.25...
August Piao: In that ballpark.
Robert Matthew Barrie: In that ballpark. Yes. So some of those big GMV spikes you see up and down have been done, and we won't be doing that 0.25 anyone is listening that will not happen again. That was a rare circumstance from a $1 trillion company wanting to do something. But as a result, you can get a big mismatch between the GPV and GMV versus the marketplace as a whole where the payments as a whole is doing 1.64%, you can get those numbers bouncing around a little bit. It is true that March of last year, I think it was, that we did make a few pricing changes. We had a pricing table that was going -- maxed out at $25,000. So the way it worked was 0 to $5,000, it was 3.25%, $5,000 to $20,000, cover the intermediates, it's like 1.8% plus something rather and then $2,500 above, it was 0.89. The problem with that pricing table, which existed until March of last year was that we were giving account managers the ability to negotiate higher-end value transactions. And back 10 years ago, when we acquired the business, you didn't get very many transactions above $25,000. And then we started regularly getting $50,000 transactions, $500,000 transactions, $5 million transactions and $50 million transactions. So we blew by several orders of magnitude off the end of the pricing table. And so quite a lot of random pricing was being issued, which was just stupid and unsustainable. So that was fixed up at March last year. In addition, we just tightened up the collections from fees that are already being levied but not being collected properly. We had things sitting around, for example, in our custodial account that hadn't had fees paid. And we were still performing a service that needed to be remunerated because it was us holding custody an asset, for example, and so on. So overall, there has been some pricing in there, but that's well over a year now. We -- now I think we've got a very, very, very good pipeline of marketplaces and platforms, et cetera, which we will start ramping up and start diversifying and hopefully reduce the volatility from the GPV numbers. Any other questions?
Operator: One more question. Matt, you are very confident about getting acquisitions back to 20%. Can you elaborate on this? Any changes in strategies or area of focus?
Robert Matthew Barrie: No. Well, it's just sticking to our knitting, ensuring that product quality is consistently high and improving. Andrew Bateman is now in charge of product quality. He is doing an excellent job in terms of a number of missions and just getting that on track because I think the dropbacks happen in really 2 times, right? One is when there are holidays and you kind of have like these periods where it's Ramadan or it's Eid or it's Easter or it's holidays or have you -- you have dropbacks due to liquidity effects. The other is when you got some product issues, you ship something. And it's a very complex business in that, you have 2 sentient beings on the client side and on the freelancer side, trying to maximize their value equation. And it's a bit different from selling a book on Amazon where the book is not sentient. And so you do have the second order and third order effects. You have to be very, very, very careful when we make changes. But the reason why I'm confident is I know if we just stick to our knitting and just really focus on product quality, these numbers just rise naturally and they flow through with all the efforts we're doing today, with all the -- sticking to our knitting, continually looking for opportunities in terms of where we can acquire new customers, continually improving features, improving convertibility, improving average size. So I know we can get the numbers there because I see how the business reacts and I know what causes when the numbers go backwards. So really, it's just a pathological focus on product quality, I believe, is really the overarching thing we have to do at the same time as pushing out new features, but doing so in a way which is not move fast and break things, which I think is probably one of the most damaging statements we ever say to the tech industry, but to be very careful and make sure the quality is exceptional and you're pathological about the quality of the things you ship. And I think that's been about since 2017, 2018, to be honest.
Operator: Great. We have another question for Matt and August regarding Escrow from Greg Ward. He says, how long will it take for you to get best-in-breed checkout for Escrow? And will we hold off on onboarding new Shopify customers until we reach, say, 90% targeted best practice checkout?
Robert Matthew Barrie: Do you want to comment on that August or...
August Piao: I think there's sort of a lot of opportunity to improve our checkout experience, and we are carefully designing a flow that we think is going to be world-class. Exactly how long that will take, I think, is a matter of iteration. I'd say, optimistically, we'd like to get a version out, let's say, in the next -- at least an iteration out in the next 6 months and iterate from there. In terms of the exact bearing around percentage of quality we're looking for, I think that's something that's hard to pinpoint. We'll have to wait and see. We'll look at the market reaction, the customer reaction engage from there. I'd say an 80% ballpark sounds pretty good. But again, we may accelerate that...
Robert Matthew Barrie: The fundamental issue is that we have to do KYC, and that's the problem, right? So you -- when you use your credit card online, people forget that the KYC once by going into the bank. And setting up a credit card is actually quite painful in many circumstances and actually having upload your IDs and the other. So you -- with the transaction, you have to potentially get the buyer and the seller. And potentially third-party brokers all the KYC at the same time, depending on what you're selling. And that experience people don't like. So we've got to get that as slick as possible. There are things like electronic KYC, which we have in the system, but that does introduce new classes of fraud where people can buy databases of people's social security numbers and so forth, and that will work. And so you've got to be careful. So we just got to -- and we've got to make sure that we're not fully 24/7 just yet on the support team. This quarter, we'll get to 24/7, but we're not there yet. We've gone to 24/5 and a bit at the moment, almost 24/6. And so we have to get that running. We have to get the full automation of quite a number of things across things like compliance, payments because we're funding in the business of being paid quickly. We do have enhancements as part of a big banking effort that we did recently, where we do now, in some circumstances, have the ability to take instant payments. So I think that's a big one, which will enhance that. So when August is 6 months, that's not just one iteration and a big dump and you've got a new product update. It is just chipping away at operations, compliance, automation, product, customer experience, merchant onboarding experience as well. I think the biggest model to look at is Afterpay. They had 2 parts of the business. They had one, which was an aggressive sales and marketing team going after the merchants. And then you have a second thing, which is the activation team that really onboarded those merchants and actually, it became a bit over the top, but almost like a celebration that you were part of the Afterpay community, which is strange for something where you're borrowing money to effectively lay by an item. But we need to have all that infrastructure built and operating. Well, we've got a new Head of account management out of Vancouver now, Anthony Yan. He is building that onboarding team as we speak. So it's more than just product, it's operations, it's support, it's compliance, it's account management, it's onboarding, it's the product itself, customer experience. And it's happening, and it's just slowly nudging forward. But you only really got one shot at the business of this size, and you want to make sure it is as good as possible. So -- but the end-to-end production flow of funds has started. It's now just careful ramp-up. You don't want to hit it and then kind of have the transaction volume go up 10x and not be able to cater for that. So we're just being really cautious.
Operator: We got a question from DL just now. On the AI category, how are they affecting new client growth, volume growth from existing clients and the average project size?
Robert Matthew Barrie: Well, AI category started obviously at 0 originally. So I don't think it's -- they are a major contributor at this point to average project size or overall project mix, but I do expect them to get to a very large number. So by way of comparison, software as a category as a whole is about 30-something -- low 30s percentage of the business that we have. And I expect AI as a category to get to probably at least that over time. And I think when it starts really moving, it will move very, very rapidly. So I do think -- if you think about the transformation of businesses, thanks to the Internet, you've had really 3 waves. The first wave is 1994, only the gigs had e-mail address. '95 was the year that your grandmother had an e-mail address. That led to an explosion of businesses trying to reach customers over the Internet. They did that through websites, and that led to web development as a category, which became a very big category on freelancer. The second big transformation that happened was smartphone rollout. Android versus iPhone, you reach customers through mobile. That didn't become as big as website development because we figured out ultimately how to make websites responsive. And so you didn't need to have a separate app, but that's a very, very big category on the site today. The third big category, I think, will come is AI development, which is basically just even is starting with AI agents that will answer the phones, take a credit card, process an order, make a booking. I think every business in the world, large and small, will have that happen. You're starting to see it creep out with things like everything from like McDonald's going through the drive-through, sometimes now in locations, they've got a multimodal AI agent taking your order. You're starting to see it creep out over phone calls. We've got it in trial even doing outbound calls to customers in production environments, talking to customers to do things over voice modality. And we have a multimodal experience coming out right now in the next, I think, quarter for the post project post experience. So I think it's going to be slowly than all at once in terms of the volume coming through with AI. It is building very, very strongly. It's building from a very low base, but I do anticipate it to be a very, very large category.
Operator: Great. Final question. Are the average project sizes from AI projects currently higher or lower than that?
Robert Matthew Barrie: I will have to take that on notice. If you want to send me an e-mail to matt@freelancer.com, I should get the actual data on that. We do have a Fast 50 report coming out this week. Maybe I'll tell Brent to include that number in the Fast 50 reports.
Operator: Okay. Great. Final question from Greg Ward. If Shopify and potentially some other marketplaces embrace Escrow as payments platform, is it conceivable that Escrow's revenue will surpass Freelancer? If this does crystallize, how is this likely to influence the Board's strategic thinking of the group with regards to CapEx allocation, ownership structure, et cetera?
Robert Matthew Barrie: Yes. I mean we routinely talk to customers who will quote us volumes for Escrow where they could see us ramping up to $100 million, $200 million, $300 million of volume with them. When you look at a business like a Shopify and then you realize that while there are 100 payment methods in Shopify, none of the large value payments. And so really, there's actually a capability of Shopify to do things like sell real estate or whatever it may be. I could -- and I've always said this, I could easily foresee a business that would -- one customer that could potentially do more volume than we're doing now in aggregate across all of Escrow. In fact, in the past, for a very large $1 trillion marketplace, I've been asked to quote pricing for volumes that have been larger than the entire marketplace as a whole. So we will see where this goes. That having been said, we're also quoting on very large things for Freelancer as well. And also, we've got a large quote for Loadshift that we and have quoted on some very, very big business for Loadshift in the past. So we will see, but I am not -- each business ultimately may have a somewhat more independent future. And certainly, I have been pitched many times, very early stage non-affirm random possibilities for the subsidiaries, and we'll continue to pitch them in the future. And who knows what the future is -- of the subsidiaries in the future and potentially it could be something transformational, but there's nothing currently on the books for any of the businesses. But yes, we're constantly thinking about that.
Operator: Yes. I think as we're now past 10:00 a.m., if there's no final questions, we'll close it.
Robert Matthew Barrie: Okay. Thank you. Thank you. And again, you may follow up with myself at matt@freelancer.com or investor team at investor@freelancer.com to arrange a one-on-one. So thanks for joining, and I'll see you otherwise in the next quarter's call. Thank you.